Operator: Thank you for standing by, and welcome to H&R Block's First Quarter Fiscal Year 2025 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session [Operator Instructions]. I would now like to hand the call over to Michaella Gallina, Vice President, Investor Relations. Please go ahead.
Michaella Gallina: Thank you, Latif. Good afternoon, everyone, and welcome to H&R Block's fiscal 2025 first quarter financial results conference call. Joining me today are Jeff Jones, our President and Chief Executive Officer; and Tiffany Mason, our Chief Financial Officer. Earlier today, we issued a press release and presentation, which can be downloaded or viewed live on our website at investors.hrblock.com. Our call is being broadcast and webcast live, and a replay of the webcast will be available for 90 days. Before we begin, I'd like to remind listeners that comments made by management may include forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties, and actual results could differ from those projected in any forward-looking statement due to numerous factors. For a description of these risks and uncertainties, please see H&R Block's Annual Report on Form 10-K and Quarterly Reports on Form 10-Q as updated periodically with our other SEC filings. Please note some metrics we'll discuss today are presented on a non-GAAP basis. We reconcile the comparable GAAP and non-GAAP figures in the appendix of our presentation. Finally, the content of this call contains time-sensitive information accurate only as of today, November 7, 2024. H&R Block undertakes no obligation to revise or otherwise update any statements to reflect events or circumstances after the date of this call. With that, I will now turn it over to Jeff.
Jeff Jones: Good afternoon, everyone, and thank you for joining us. Today, we will start with first quarter results for fiscal year 2025 and provide an update on each of our Block Horizons strategic imperatives. Then Tiffany will discuss our financials and the strength of our capital allocation before opening the line for Q&A. We had a good start to the year. I'm pleased with our performance in the quarter, and today, we are reaffirming our fiscal '25 outlook. We delivered revenue growth of 5% and successfully converted a higher percentage of Assisted extensions into filings in Q1. Our international business also performed well, and we're continuing to make progress across all 3 of our Block Horizons imperatives, which I'll share more about in a moment. On the capital allocation front, we repurchased approximately $210 million of shares in Q1. Our team is focused on operational and technical enhancements to improve the client experience in office and online and ultimately helping our clients have greater confidence in their financial outcomes. Let's jump right into Block Horizons for more detail. I'll begin with small business. Assisted small business tax delivered double-digit revenue growth in the quarter, and we continue to be pleased with the positive trends we are seeing in bookkeeping and payroll services. Entity clients continue to be a focus area, and our marketing message highlights that our small business bookkeeping expertise is offered to clients at up to 50% less than the average accountant, which is resonating with small business owners. All-in-all, we feel good about the trajectory of small business and the long runway of opportunity ahead. Turning to Wave. Revenue growth was 10% in Q1. Since launching our subscription products, Pro-Tier, and receipts earlier this year, we've seen positive monetization trends with these higher-margin products. Adoption among new and existing users has exceeded our initial expectations and our key priorities remain the same: accelerate revenue growth and drive towards profitability, and we are seeing progress in both areas. Moving on to financial products. Our mobile banking platform, Spruce, was designed to help people be better with money, and it is delivering on that objective. Sign-ups have continued to increase, and Spruce recently surpassed the milestone of $1 billion in customer deposits. As we shared in August, nearly 50% of deposits came from non-tax sources in fiscal '24, and we have been pleased to see strong trends continue in the first quarter. We also know there are Spruce clients who are not currently using H&R Block for their tax preparation needs and believe this is an opportunity for conversion. Looking forward, our focus remains on efficiently acquiring clients and driving year-round user engagement within the Spruce app. Now let's turn to Block Experience, which is all about blending digital tools with human expertise and care. We are well-positioned to serve clients however they want to be served, fully virtual to fully in-person, and every way in between. We're driving our approach through the lens of our clients, how they choose to work with us, the desire they have for price transparency, and ultimately the confidence they are seeking in their tax outcome and financial stability. We continue to believe that AI is additive to the tax preparation process and are building upon our use cases to enhance the client and tax pro experience and unlock cost savings. For example, in our DIY channel last season, we launched our GenAI-powered AI Tax Assist tool for clients in all paid SKUs. It performed well and clients found it easy to use and helpful in their tax prep process. Importantly, we saw greater conversion among new paid clients who use the tool. With learnings from its first tax season, our team has continued to make significant enhancements by expanding the range of topics, deploying hybrid search and semantic ranking, and upgrading to ChatGPT 4.0 to improve accuracy and deliver confidence for users. AI Tax Assist will be offered free of charge in all DIY online paid SKUs once again this season, giving clients unlimited access to the tool as well as H&R Block tax pros in order to receive the expert help they need and want. We believe that combination of AI along with the expertise of our H&R Block tax pros is a competitive advantage versus other players in the industry. Clients also have the option for one of our expert tax professionals to double check their completed return, along with source documents, and file on their behalf with our Tax Pro Review product, which we have grown double-digits for nearly a decade. As one of our highest converting and highest retention products, Tax Pro Review combines the best of both worlds by giving clients control of preparing their own taxes, along with the confidence that a tax professional has thoroughly reviewed everything to maximize their outcome. We know clients desire help, whether they are completing their taxes on their own or turning them over to a tax professional and we are well-positioned to serve them however they need in order to ensure they get their maximum refund. We have also made meaningful improvements in the core DIY user experience from start to finish. We've simplified the flow for new clients and streamlined onboarding to make it even easier for clients to start in the product best suited for their tax situation based on the information they provide and to have confidence in their outcome before they file. We are pleased that our continued commitment to user experience and innovation is recognized in the market. We have already won multiple product awards this year, including the most recommended tax software in Kiplinger's Readers' Choice Awards, highlighting our leadership in the industry and the trust our clients place in us. In the Assisted channel, our market share is about 4x the next 2 largest branded competitors combined. We provide our clients with upfront transparent pricing, the ability to file however they choose, and genuine care and advice from our expert tax professionals who on average have been with our brand for 10 years, thousands of which are CPAs, enrolled agents, senior tax professionals or are small business certified. Our H&R Block offices are conveniently located within 5 miles of most Americans, and we will continue to reinforce our strong local value proposition. While we've been matching clients with tax professionals to align with their needs for many decades, this year, we are adding multiple new dimensions to our matching algorithms, which we expect will not only enhance the overall client experience but also optimize the efficiency of our tax professionals and allow more experienced tax pros to handle more complex situations. Another way we're improving the client experience is through MyBlock, which is H&R Block's digital front door. Through this authenticated experience, clients can accomplish many things from uploading and storing their tax documents to starting a DIY return or working directly with a tax pro via chat. Clients can also review, approve and pay for their return, track their refund and manage their Emerald Card, all in one convenient place year-round. We are rolling out several new features to improve nearly every aspect of the user experience and new client flow. Returning clients will now have a tailored start screen that will display their assigned tax pro and indicate if they have an upcoming appointment or a DIY service started, building confidence that they will get the help they need. Additionally, we heard from clients that they wanted a way to better understand their tax outcome, so they have confidence in the size of the refund or balance due. With our new outcome reveal screen, clients will be able to see a summary of their tax calculation so they can better understand their outcome before discussing it with their tax pro and completing their return, all of which helps to reinforce our expertise. As clients increasingly seek a comprehensive solution that is easy to use, we believe MyBlock will play a crucial role in meeting their needs. In summary, I'm proud of the work being done and feel good about our ability to deliver results in fiscal '25. Now joining me today for her first earnings call at H&R Block is our CFO, Tiffany Mason. I've been thrilled to have her on board for the last 3 months, and I will now pass it over to her to share more about our financial results.
Tiffany Mason: Thank you, Jeff, and good afternoon, everyone. Since joining H&R Block in August, I have been impressed by the company's vision, culture, and commitment to innovation and excellence. I've enjoyed partnering with Jeff and our entire team to continue driving long-term value for stakeholders. With that, let me share our Q1 financial results. We delivered $194 million of revenue, an increase of $10 million or 5% over the prior year. The increase was primarily due to higher company-owned volumes and a higher net average charge in the Assisted category combined with higher international tax preparation revenues. Total operating expenses were $422 million, an increase of $32 million or 8%, primarily due to higher tax professional wages as a result of higher tax return volume, higher corporate wages, and an increase in legal fees and settlements in the current year. Without the increase in legal costs, operating expenses would have grown in line with the increase in revenue. Interest expense was $16 million in the quarter, flat to last year. Given the seasonality of our business, we typically operate at a loss in the first two quarters of our fiscal year. Our pretax loss in the first quarter this year was $232 million compared to $212 million in the prior year, and our effective tax rate was 26.2% compared to 23.3% last year. The EBITDA loss for the first quarter was $188 million compared to an EBITDA loss of $166 million last year and the loss per share from continuing operations was $1.23 compared to $1.11 last year, while adjusted loss per share from continuing operations was $1.17 compared to $1.05 last year due to a higher pretax loss and fewer shares outstanding. As a reminder, in quarters with a loss, fewer shares outstanding increased the loss per share but are accretive as we generate earnings for the full-year. Our first quarter results were on track relative to our expectations, and we believe we are well-positioned to deliver results for the full-year. So as Jeff shared, we are reiterating our fiscal year 2025 outlook, which was provided in today's earnings release. We continue to expect our full-year effective tax rate to be approximately 13%, which is lower than historical levels due to the closure of various matters under examination and the expiration of certain statutes of limitation. We expect this to provide a onetime benefit of approximately $0.50 to EPS this fiscal year. Beyond this year, we continue to expect the effective tax rate to return to the low 20s. Turning now to capital allocation. Our practices remain strong. Last month, we paid our regular quarterly dividend, which you'll recall reflected the 17% increase we announced in August. Since 2016, we have increased the dividend by 88%. In the first quarter, we also repurchased a total of 3.3 million shares of stock for $210 million at an average price of $63.51 per share. This retired another 2.4% of our shares outstanding. With that, I will now turn things back over to Jeff for closing remarks.
Jeff Jones: Thanks, Tiffany. Before opening it up for Q&A, I want to take a moment to acknowledge the communities, associates, and franchisees that have been impacted by Hurricanes Helene and Milton. My thoughts are with those facing unfathomable challenges. As a company, we have donated to a number of organizations, leading disaster relief efforts, bolstered our associate relief fund and we'll continue to evaluate the best way to support these impacted communities. With that, operator, we will open the line for questions.
Operator: Thank you [Operator Instructions] Our first question comes from the line of Kartik Mehta of Northcoast Research.
Kartik Mehta : Jeff, just as you look at the upcoming tax season, and I know it's a little early, but any thoughts on what you think from a competition standpoint? Are you anticipating any different competitive maneuvers at this time?
Jeff Jones: Hi, Kartik, thanks for the question. I mean I guess starting with, as we've talked before about just the industry performance and as we sit here today, we don't see any major tax law changes, employments remain strong and all that kind of nets into what we expect to be more of a normal season again, which is about 1% growth. I think the most common questions we get asked about competition has been Assisted -- the Intuit's move into the assisted category. We've not seen any material impact to our business whatsoever from that move but obviously, we're always paying attention to what they may be planning to do. And I think most importantly, focused on what we can do better and better to both convert the clients that are choosing H&R Block and making appointments and coming to our offices, and then continuing to get smarter and smarter about how we market and communicate our value proposition to prospective clients.
Kartik Mehta: Just a follow-up. Jeff, in the past, you've talked about the DIY product and now the DIY product has a lot of parity with your competitors. And so far, you've priced it lower than TurboTax. And I'm wondering maybe your thoughts as we go into this tax season if you think you'll change that strategy at all.
Jeff Jones: Yes. I think as you indicated, our strategy absolutely starts with the product. And as you heard in the prepared remarks, from top to bottom in the user flow this year, we've continued to make experiences. I feel very good about the performance improvements with AI Tax Assist, both in terms of its accuracy and quality and coverage of topics and that will be included for free in the paid SKUs this year. So I think that product, along with our pros really helps to position us at a competitive advantage. We'll aggressively market that value proposition. We'll continue to help consumers understand how easy it is to switch to H&R Block. And we'll always pay attention to pricing. As our product gets better and better, we pay attention to those gaps of us versus competition. And clearly, in the DIY space, we have a lot more dynamic nature to pricing to think about moves we need to make as the season plays out.
Operator: Our next question comes from the line of Scott Schneeberger of Oppenheimer & Co.
Scott Schneeberger: I'm going to start off asking about OpEx in the quarter. It's elevated year-over-year, mainly in comp and benefit; other, which I think is predominantly tech spend; and then you're higher on marketing year-over-year. So Jeff or Tiffany, if you could elaborate on what's occurring there and how we might want to think about that on a go-forward basis? And then I'll have a follow-up on that topic.
Tiffany Mason: Sure, Scott. Thanks. So with regard to OpEx, I mean, first and foremost, obviously, our largest expense is field labor and field labor is variable. So with an increase in volume this quarter, we saw a corresponding increase in field labor. We did see slightly elevated corporate wages, but nothing that we didn't expect. And we did see marketing expense higher year-over-year because we are pushing heavier into online marketing, but again, all expected and planned for in the current year. The one elevated expense that I called out in prepared remarks is higher legal fees and settlements. They were higher this year as a result of the FTC matter and proposed settlement that we described in our 10-Q that's getting filed today. We also had higher outside spend -- outside legal counsel spend as well as other costs related to ongoing legal matters. So as I said in prepared remarks, if you were to look through those increased legal costs, operating expenses would have grown in line with our revenue increase. And probably the most important thing to note is those higher costs have been included in our outlook. So no concerns with the outlook that we reaffirmed today.
Scott Schneeberger: Understood. And on the follow-up, it's kind of a two-parter. I guess, Jeff, for you, could you please address -- there's a lot of technology advances that the company is doing. And I'm just curious if we will see elevated tech spend. And if not, why? And then also following up on the marketing topic, we've seen earlier advertising from your large DIY competitor, and it appears that, that's been subdued for now. But you also have spoken to earlier-season marketing spend, DIY, Tiffany just mentioned it. Could you speak to the logic and the strategy of the earlier marketing approach this year? Thanks. I appreciate the two-parter.
Jeff Jones: Yes, absolutely, Scott. I mean on the first one on technology spend, I mean, obviously, over many years now, we've been doing different things to modernize the company and our ability to compete and deliver better digital capabilities for the consumer. And currently, that's showing up in things like AI Tax Assist. All of that's contemplated in our outlook. And I think we've done a very good job in general of managing expenses, finding productivity, and being able to think about how we reinvest those dollars in these capabilities. For a call in the future, we can look ahead and talk about how we see the future playing out. But for this year, I feel good about how we're investing, and I feel good about how we're managing costs inside the company. On the marketing side, I guess there was a two-parter there. Yes, we did see Intuit start earlier than we can remember them starting before, and as you mentioned, had to pull that advertising due to some complaints by some industry groups. We don't think that's going to change their strategy. It might just change their timing. And for us, our marketing really begins now. It's Emerald Advance season and doing what we can to deliver a strong Emerald Advance season that leads into tax appointments for next year. And then as we move into January, you should see us really begin our marketing efforts in earnest and those will be about telling our value proposition in Assisted and continuing to lean in on the choices that we think the consumer has to pick H&R Block online as well.
Scott Schneeberger: And I'm going to sneak one more, just one more housekeeping one here, if I could. It's on the -- your recent filing with regard to Emerald Financial Services and your partnership, extended the partnership with the bank partner. There was a mention in there, though, a slightly lower overall share of the participation in the portfolio. Is that going to be -- it sounds like everything is considered in guidance. But is that, maybe longer term, something that could change materially or not so much? Just want to know if that's something we should keep an eye on.
Tiffany Mason: Yes, Scott, thanks for the question. So we have a great relationship with Pathward, otherwise, we wouldn't have extended the contract by 2 years. So nothing to be concerned about there. We continue to feel good about those economics and look forward to continuing the relationship and continuing to grow those businesses.
Operator: Thank you. Our next question comes from the line of George Tong of Goldman Sachs. Your question please, George.
Q – George Tong: Now that you are closer to the next tax season, can you discuss how your strategy around the customer experience and retention, and marketing this year will be different than last year to drive improved performance in the Assisted category?
Jeff Jones: Thanks, George, very much. I think as I alluded to over the last couple of calls, the opportunity we saw in the Assisted business, in particular with those clients that are choosing Block and making an appointment but not converting at a high enough level. And I would say that there have been 6 or 7 or 8 different kind of experience changes put in place for this year. We know that the consumer, especially for new clients, when they come to H&R Block for the first time, they don't know what to expect. And so how we welcome them to the brand, how we talk about how the process works with us, how we introduce upfront, transparent pricing, how we ensure the tax professional is appropriately spending time to understand their situation, the kind of questions they ask and ultimately doing a great job of explaining their outcome, how the tax calculation worked and what their ultimate outcome balance due or refund is. And so there are a number of operational and technical changes that have been put in place to facilitate that experience better. I think when you zoom out from there, we feel strong about our value proposition. We're excited about some ideas about how we want to introduce pricing this year. We've made some decisions about increasing our Refund Advance loan while at the same time, keeping it a 100% free product for the consumer. We'll continue to lean into the localness and the local expertise that we deliver. So there are really a number of different things inside the experience and how it translates into marketing that we've seen starting to -- getting started as we've -- the early season has gotten underway, and I'm excited to see how it translates once January comes.
Q – George Tong: Got it. That's helpful. And you mentioned earlier that paid products next year will include AI Tax Assist for free. Can you discuss how much of a risk there could be from consumers downshifting from Assisted to DIY if DIY is going to include this AI functionality that can help answer their tax questions?
Jeff Jones: Yes, it's a great question. Obviously, we're very, very early days with this product and AI in general. This will be the second year that we've included it for free. We did not see any of that kind of behavior last year. In fact, what we saw was new clients that engaged with AI Tax Assist converted at a higher level. And so we think it's important to continue to offer that kind of value to the consumer to give them multiple ways to achieve help. AI Tax Assist is one of those ways. Obviously, they can hit the proverbial button and connect with a tax expert as well. So I guess the thing that we see overall is consumers' desire for help, whether that's a product like AI Tax Assist or starting in DIY and moving to Tax Pro Review or ultimately choosing a fully Assisted experience. I feel good about our positioning to deliver all of those different ways.
Operator: Our next question comes from the line of Alex Paris of Barrington Research.
Alex Paris: I have a couple. First off, Tiffany, you mentioned the tax rate for the year. I kind of had a little interruption in my technology here. I wonder if you could go over that again. And then what quarter is that going to hit? I was assuming it's going to hit in the fourth quarter, that $0.50 -- that onetime benefit.
Tiffany Mason: Sure. So unchanged from when we guided initially at the start of the fiscal year. So our expectation for the effective tax rate for the full year is 13%. That includes a one-time benefit of about $0.50. It will hit in a single quarter. We haven't predicted the quarter that will hit because, frankly, we don't know. It depends on when those matters are settled through the process with the IRS but it is a one-time $0.50 benefit. We do expect it to be this fiscal year. And so we'll let you know as we get more information and as the process plays out. We do expect as we get beyond fiscal '25 that our rate will go back into the low 20s.
Alex Paris: Great. And then just a little bit of additional color on the legal expense since you called it out. I know it will be in the 10-Q, but 10-Q is not out yet. I wonder what you can say about that now. How big was it this year versus last year?
Tiffany Mason: Yes. So certainly more disclosure coming out in the 10-Q. I would say just simply, again, I mentioned the FTC matter. We did -- it did enter into a proposed settlement with the FTC. It's subject to final approval by the commission. The terms and the amount of the settlement are not yet public, but the settlement amount is fully reflected in our loss contingency accrual. So again, no concerns about guidance for the full year.
Alex Paris: Great. And then a lot of good questions about the upcoming tax season. I know we can't say a lot about it right now. So I just wanted to ask one other question that I get so often, especially with investors new to the H&R Block story. And that's the matter of the Direct File program. And I know you've spoken to this, Jeff, on previous calls. But now that it's moving from pilot to a bigger program, I wonder if you have any updated thoughts to share.
Jeff Jones: Yes, absolutely, Alex. I mean as we go from kind of the first year to the second year, they have made a number of announcements, obviously, about the expansion in states and form coverage. The fact is we have not seen any material impact to our business. I'm not anticipating seeing any material impact to our business this year. And obviously, we're going to pay close attention as the administration changes, and perhaps priority shift in Washington what the future really holds for Direct File but it will be in place for this season, but we don't expect to see any material impact to the business.
Alex Paris: Again, it's a free product, and you offer a free competitive product as do 30 other providers out there. So I wouldn't think that you'd see a lot of impact except on the unpaid filings.
Jeff Jones: That's exactly right. And you're also right, we track over 30 competitors that offer free. We're very proud of our free offering. It's a strong offering. Lots of Americans can qualify to file for free. And so we feel good about that product. And the degree to which there is any impact, I guess, could show up in market share if there were a shift to free clients. But again, we haven't seen any of that impact to date.
Operator: I would now like to turn the conference back to Michaella Gallina for closing remarks. Madam?
Michaella Gallina: Thanks, Latif, and thanks, everyone, for joining us today. This concludes the first quarter 2025 earnings conference call.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.